Operator: Good morning, and welcome to CIT’s Second Quarter 2018 Earnings Conference Call. My name is Keith and I will be your operator today. At this time, all participants are in listen-only mode. There will be a question-and-answer session after today’s call. [Operator Instructions] As a reminder this conference call is being recorded. [Operator Instructions] I now like to turn the call over to Barbara Callahan, Head of Investor Relations. Please proceed, ma’am.
Barbara Callahan: Thank you, Keith. Good morning, and welcome to CIT’s second quarter 2018 earnings conference call. Our call today will be hosted by Ellen Alemany, Chairwoman and CEO; and John Fawcett, our CFO. After Ellen and John’s prepared remarks, we will have a question-and-answer session. As a courtesy to others on the call, we ask that you limit yourself to one question and a follow-up and then return to the call queue, if you have additional questions. We will do our best to answer as many questions as possible in the time we have this morning. Elements of this call are forward-looking in nature and may involve risks, uncertainties and contingencies that may cause actual results to differ materially from those anticipated. Any forward-looking statements relate only to the time and date of this call. We disclaim any duty to update these statements based on new information, future events or otherwise. For information about risk factors relating to the business, please refer to our 2017 Form 10-K. Any references to non-GAAP financial measures are meant to provide meaningful insights and are reconciled with GAAP in our press release. Also, as part of the call this morning, we will be referencing a presentation that is available on the Investor Relations section of our website at www.cit.com. Now I’ll turn the call now over to Ellen Alemany.
Ellen Alemany: Thank you, Barbara. Good morning and thank you for joining the call. I will start with an overview of results and then provide some updates on our strategic plan. We posted net income available to common shareholders of $117 million in the second quarter or $0.94 per diluted share, and income from continuing operations, excluding noteworthy items, of $125 million or $1 per diluted share. Results reflect continued progress on the strategic plan including lower operating expenses, advances in optimizing the capital structure and growth in our core businesses despite some highly competitive markets. Additionally we completed the sale of the reverse mortgage business and related loan portfolio, as well as outsource the forward mortgage servicing operations. These actions further simplify and strengthen CIT by exiting non-core operations and driving greater efficiency in our go forward mortgage business. John will walk you through more details on our financial results shortly, but first I want to touch on a few key elements of our plan, which are on Slide 2. Origination volume was strong across the board, up about 30% year-over-year, which demonstrates the progress we are making in the marketplace by adding expertise to key business verticals and delivering value for our customers. This volume was somewhat offset by an elevated level prepayments in the commercial finance and real estate finance divisions and that affected core asset growth, which was up about 1%. Business capital had another very strong quarter with core loans and leases up 8% year-over-year and 2% quarter-over-quarter. Small business confidence is strong and we are well-positioned to help our customers grow their business. Our technology, industry expertise and knowledge of residual values gives us a strong position in the equipment finance market. Most recently, we announced that our leading flexibility digital platform is now integrated with a key software product in the office imaging space, which will enable dealers and their customers to have a completely automated experience when leasing equipment. Factoring volume is also up year-over-year driven by increases in the technology sector. Origination volume was up 24% versus the prior year in the commercial finance division largely from the aviation, healthcare and energy verticals. The CIT Northbridge JV has also started to gain traction. Our pipeline of transactions in commercial finance continues to be strong. At the same time we remain disciplined in our approach to this market, which has seen aggressive leverage levels and structures. Likewise our real estate finance business continues to be competitive, but also experienced a higher level prepayments. The industry overall is seeing some softening and we are being prudent and picking our spots. In rail, we have seen an uptick in rail-car loading fueled by some improvement in the industrial sector. There is still a surplus of equipment but our team has been successful in increasing the utilization of our North America rail fleet over the past several quarters to 98%, which is up 350 basis points from last year and 100 basis points from last quarter. The NACCO transaction continues to progress and is expected to close by the second half of this year. We continue to advance our strategic business initiatives and build on our core strengths in small business in the middle market. Operating expenses decreased 9% in the second quarter compared to a year ago and we remain committed to achieving our expense target for the year. We posted total average deposit growth in the quarter of $900 million compared to the prior quarter as we strategically decreased broker deposits and grew customer deposits at the Direct Bank. The cornerstone of our deposit growth is the Direct Bank, which had another strong quarter and added $1.5 billion of average deposits and 20,000 new customers. The new money market account has been a key contributor to deposit growth as we offer consumers additional savings options with a competitive value proposition. We continue to make strides in optimizing the capital structure and creating value for shareholders. We purchased $680 million of common shares in the quarter and plan to return up to $750 million of additional capital as we advance our plan. We also recently announced a 56% per-share increase in our common stock dividend to $0.25. As we previously disclosed with the passage of the Regulatory Relief legislation, CIT is no longer subject to the DFAST or CCAR processes. Our capital planning and risk management practices will continue to be reviewed through the regular supervisory process, and we are committed to maintaining strong capital planning and risk practices while also working to reach our target capital levels. And lastly our credit reserves remain strong. With that let me turn it to our CFO, John.
John Fawcett: Thank you, Ellen, and good morning, everyone. Turning to our results on Page 3 of the presentation. We posted GAAP net income for the quarter of $117 million or $0.94 per common share. Page 4 highlights income from continuing operations excluding noteworthy items, which was $125 million or $1 per common share this quarter, up from $97 million or $0.74 per common share last quarter and down modestly from $126 million or $0.68 per common share in the year ago quarter. Earnings per common share increases also reflect the decline in the average number of diluted common shares outstanding to $125 million from $132 million last quarter, and $184 million in the year ago quarter. The increase in net income from prior quarter reflects lower operating expenses and a lower more normal credit provision. The current quarter also included a $9.4 million preferred stock dividend. The year ago quarter benefited from an unusually low credit provision and no preferred dividend, which was offset by higher operating expenses and a higher tax rate. We posted strong new business activity in the second quarter in almost all of our businesses, and our average core portfolio grew 1% from the prior quarter despite high prepayments in commercial finance and real estate finance. Total average loans and leases were modestly lower reflecting the sale of the reverse mortgage portfolio and continued runoff of the legacy consumer mortgage book. As shown on Page 5 of the presentation we had a number of noteworthy items resulting from our strategic initiatives that offset one another, but impacted continuing and discontinued operations a bit differently. The sale of the financial freedom servicing business included an after-tax loss of $14 million in discontinued operations from additional reserves and transaction costs, while continuing operations included a $22 million after-tax benefit from the sale of reverse mortgages related to the financial freedom transaction. We also incurred debt extinguishment costs of $14 million after-tax from our liability management actions and $6 million after-tax benefit from suspended depreciation related to the pending NACCO disposition, which we expect to close later this year. I will now go into further detail on our financial results for the quarter. Please note that in this discussion, I will refer to our results from continuing operations, excluding noteworthy items unless otherwise noted. Turning to Page 6 of the presentation. Net finance revenue was relatively flat from the prior quarter, while net finance margin declined by 8 basis points. Compared to the year ago quarter, net finance revenue was down $23 million and the margin declined 15 basis points. The flat net finance revenue compared to the prior quarter reflects higher income on our loans, leases and investments, which was offset by higher interest expense. Net purchase accounting accretion was unchanged from last quarter as a $2 million decline in accretion in our real estate finance division was offset by a decrease in negative interest income on the indemnification assets in consumer banking. We continue to see a reduction in purchase accounting accretion as the portfolios run off. We now have approximately $665 million in total purchase accounting accretion remaining, of which almost $590 million relates to legacy consumer mortgage portfolio, which runs off at about 10% to 15% annually. The remaining $75 million relates to commercial finance and real estate finance and we are forecasting 40% to 50% of it to accrete over the next four quarters. Turning to Page 7, although net finance revenue was flat, net finance margin declined by 8 basis points compared to the prior quarter to 3.29%, which was partially driven by a change in the mix of average earning assets. Deposit rates increased this quarter reducing margin by 10 basis points reflecting upward market trends and strong growth in our Direct Bank’s money market savings product as we got ahead of some of our projected funding needs in the second half of the year. Higher borrowing costs reduced margin by 8 basis points. About half of the increase was due to an increase in FHLB costs, most of which was rate driven and the rest was mostly due to a full quarter impact of a tier II qualifying subordinated debt issued in March. The yield on our loans and investments benefited from higher interest rates, which contributed about 13 basis points to the overall margin. However, this was offset by about 5 basis points from a higher level of average interest bearing cash during the quarter resulting from the timing of our liability management and capital actions, as well as the sale of the reverse mortgage portfolio. This quarter rail yields benefited from a customer prepayment. In addition to the trends I just described, the decline in net finance margin from the year ago quarter also reflected lower net purchase accounting accretion, other pre-payment benefits rail yields. Turning to Page 8, other non-interest income was relatively flat when compared to the prior quarter. Compared to last year, other non-interest income was up significantly reflecting income from BOLI, which has been relatively consistent at $7 million over the past two quarters and gains on derivative activity, which is more episodic. As I noted in the last couple of quarters, other non-interest income included elevated activity related to the reverse mortgage portfolio that was sold on May 31st. This quarter included $5 million in other revenues, while we recognized $7 million last quarter. Other non-interest income in the quarter also included a $6 million benefit from a release of reserves related to the OneWest acquisition. Fee income was relatively flat to the prior quarter and down from the year ago quarter resulting from lower capital markets fees, which can be uneven throughout the year. Factoring commissions were down in the second quarter reflecting seasonally lower volumes. Compared to a year ago, factoring commissions were relatively flat reflecting increasing volumes primarily from the technology sector, offset by lower pricing from a continued shift in the mix of services provided. Gain on sale of leasing equipment predominantly from our portfolio management activities in rail has remained relatively flat when compared to the prior and year ago quarters. Turning to Page 9, operating expenses decreased from the prior quarter reflecting lower compensation costs and professional fees. In addition, the current quarter benefited from a $5 million reversal of an international tax related reserve. Compared to a year ago, operating expenses declined primarily reflecting lower professional fees, and insurance costs as well as the reversal of the international tax related reserve that was originally recorded in the year ago quarter. We remain on track to achieve our 2018 annual operating expense target of [$1050 million]. As a reminder, this excludes intangibles and restructuring costs. We expect operating expenses to continue to decline in the second half of the year with much of the reduction resulting from lower compensation and benefits costs. Page 10 describes our consolidated average balance sheet. This page demonstrates the progress we have made over the past year repositioning our cash to build out the investment portfolio, reducing wholesale funded debt and returning significant capital to our shareholders. Compared to the prior quarter, average earning assets were up almost $1 billion reflecting higher interest-bearing cash relating to the timing of our liability management and capital actions over the past two quarters, as well as the sale of the reverse mortgage portfolio on May 31st, which also reduced average loans. The increase in liabilities reflects deposit growth and a full quarter impact from the liability management actions. These actions included the issuance of $400 million of tier II qualifying subordinated debt and $1 billion of senior unsecured debt in March and the redemption of nearly $900 million of senior unsecured debt in April, which allowed us to extend our overall debt maturities at a modest incremental cost and improve the efficiency of our capital structure. The decline in equity reflects our stock repurchases of approximately $680 million and a $22 million reduction from unrealized losses in our investment securities book that runs through OCI. Page 11 provides more detail on average loans and leases by division. As I mentioned earlier, we saw strong origination volumes this quarter in most of our businesses, which resulted in 1% average growth in our core portfolios despite high prepayments in commercial finance and real estate finance. Commercial banking’s average loans and leases were flat compared to the prior quarter, reflecting strong growth in business capital offset by a reduction in real estate finance and commercial finance. Compared to the year ago quarter, commercial banking grew 3% driven by business capital, commercial finance and rail partially offset by a reduction in real estate finance. The middle market continues to be challenging and we remain disciplined in a highly competitive environment, while finding opportunities where we can grow. In commercial finance, average loans and leases were down 1% this quarter. Compared to the year ago quarter average loans and leases were up 2%. Origination volumes were up significantly from the prior and year ago quarters with spreads remaining pressured and prepayments increased as borrowers are taking advantage of tighter spreads by refinancing. We continue to find opportunities with strong origination volumes in the healthcare and energy verticals. In addition, asset based originations remain over 50% of total new business volume, driven by our re-entry into Aviation finance and our reposition efforts. Real estate finance was down 2% this quarter excluding the legacy non-SFR portfolio runoff reflecting lower volumes and higher prepayments. As I mentioned last quarter, the market has become more competitive as CMBS and debt funds are more active. As a result, we are seeing spreads compressing and more aggressive debt structures including the incentive for borrowers to refinance. We are remaining disciplined, there are new business originations and continue to pick response amid the market conditions. North American real assets were up modestly as new deliveries were offset by depreciation. We are seeing some momentum in the industrial sector and where loadings are up. General surplus of equipment across North America has improved from last year but remains high at 17%. The real team has been successful and increasing utilization in the current environment which grew to 98% this quarter. Overall lease rates re-priced down 17% this quarter reflecting the persistent surplus of equipment and the mix of cars renewing. We are seeing improvement in renewal rates on certain freight cars such as Boxcars, cement and sand cars, mill gondolas and plastics. In addition, tank car markets have overall stabilized with opportunities developing in Canada from pipeline capacity constraints in Mexico for refined products and for retrofitted tank cars servicing multiple markets. That said, we continue to expect leases to reprise down on average 20% to 30% through 2018 driven by continued pressure from tank car lease rates, which are renewing at a faster pace and it rates are down from peak levels. Business capital grew 2% compared to the prior quarter with growth across all of our equipment lending businesses. Origination volume was strong up 17% from last quarter and small business optimism remains high. We continue to gain momentum across all our platforms from the investments we made in our Salesforce as well as the technology that differentiates us in this space. Pricing has remained relatively constant as the leases and loans are predominantly fixed rate and it is more difficult to pass along rate increases in this industry. As a result, the increase in funding costs has put pressure on the margins but we have recently increased lending rates in select markets. In consumer banking, growth in our other consumer banking businesses was more than offset by the runoff of the legacy consumer mortgage portfolio and the sale of the reverse mortgages. Average loans in the mortgage lending business increased by over $300 million or 13% this quarter from the continued strong originations in the retail and correspondent lending channels. And we continue to experience increasing loans from our SBA lending platform. In all our businesses, we continue to be selective and disciplined in the face of current competitive market conditions emphasizing opportunities to build upon our expertise and seek to grow in areas that are not over heeded. Page 12, highlights our average funding mix. Compared to the prior quarter total borrowed funds and deposits increased while the overall mix remains stable. Funding cost as a percent of average earning assets increased this quarter by 18 basis points. As I mentioned, higher deposit cost contributed 10 basis points while our debt actions in March in higher federal home loan bank costs added 8 basis point to our borrowing force. Page 13, illustrates the deposit mix by type and channel. Quarter-over-quarter, our average deposits increased approximately $900 million, $31 million, reflecting growth in our online channel of $1.5 million or 12% primarily offset by a reduction in brokered in commercial deposits. We’ve been growing on non-maturity deposits in conjunction with our strategy to optimize deposit costs while working within our risk management discipline. The cost of our deposits increased 14 basis points this quarter. The beta on total deposits in the current quarter was approximately 40% resulting in a cumulative beta over the past year of approximately 30% and 15% this is the first rate hike of the current timing cycle in December of 2015. Actual betas in this timing cycle have been generally lower than model due to the lack of market pressure, discipline pricing in our retail savings and runoff the bar higher cost broker deposits and high cost CDs. Growth in our money market savings product contributed to the high beta this quarter and we expect the trailing 12 month pay list continued to ramp up to around 40% to 50% by the end of the year. Page 14, highlights our credit trends. Credit matrix remains stable and our results reflected a more normal provisions. The credit provision this quarter was $33 million compared to $69 million last quarter and only $4 million in the year-ago quarter. The current quarter’s provision was in line with our near term outlook of $30 million to $40 million while the prior quarter included a $22 million charge-off of a single commercial exposure that was episodic in nature and a higher level of reserves primarily within the commercial finance division. The year ago’s quarter credit provision was unusually low and well below our normal run rate. This quarter’s provision reflected 21 basis points on that charge-offs below our near term outlook guidance and remained within cycle lows in most of our businesses. The provision also included an increased reserves resulting from a higher level of non-accrual loans within commercial finance with changes in non-accrual have some variability and have been running a historically low levels. I would also point out that we are not seeing an overall deterioration in the credit environment and new business origination continues to come in at better risk ratings than the overall risk rating of the performing portfolio. Turning to capital on page 15, our capital levels remains strong and we ended this quarter with a common equity Tier 1 ratio of 13.2% down 120 basis points from the end of last year. We are committed to returning capitals to shareholders and reducing our common equity Tier 1 ratio to a target level of 10% to a 11% in the medium term. As Ellen mentioned, with the recent passage of the regulatory relief legislation, we are no longer CIT Bank. And even though we are no longer subject to DFAST and CCAR, our target capital levels in capital planning process with continue to reflect our desire to maintain a sound risk management framework which will be reviewed through the regulatory supervision process. We ended the quarter with 116 million common shares outstanding. In the second quarter we return $680 million of common equity through the tender and open market repurchases. Brining our total share repurchase in the first half of the year, $875 million representing 16.2 million shares an average repurchase price of $54.14 per share. We increased our dividend last week by 56% per share to $0.25. If you recall, we raised our dividend 3rd quarter of last year as well resulting in a 67% cumulative per share dividend increase over the past year. In addition to the dividend increase, our board has authorized a capital return of $750 million and we intend to return sufficient capital by the end of this year to achieve our guidance of a common equity Tier 1 ratio of a 11.5% to 12%. So far, in the third quarter through Friday, July 20th, we repurchased $105 million in common shares at an average price of $51.82 per share. We remain committed to achieving the upper end of our common equity Tier 1 ratio of 10% to 11% in 2018 that will continue to review our options to return capital as efficiently and as prudently as possible while working within the confines of the supervisory review process. Page 16, highlights our key performance matrix both on reported basis as well as excluding noteworthy items. Our effective tax rate excluding discrete items was 27% consistent with our updated guidance of 26% to 28%. Our return on tangible common equity excluding noteworthy items was 8.6% and if you normalize for the preferred dividend being semi-annual, our return on tangible common equity would have been 8.9%. Before I turn it back to Ellen, I wanted to give you some thoughts in the third quarter outlook which is on page 17. We expect total average earning assets to be relatively flat with low single-digit quarterly growth in our core portfolios mostly offset by the runoff of the legacy consumer mortgage portfolio and the full quarter impact in the sale on the reverse mortgage portfolio. We expect net finance margin to be relatively flat and remain in the middle of the 2018 target range driven by a reduction from the sale of the reverse mortgages which included two months of activity in the current quarter and rail re-pricing offset by the impact of net impact of higher interest rates. We expect operating expenses to trend down as we achieve our 1050 target for the year. We continue to expect net charges to be within the annual target range of 35 basis points to 45 basis points and we expect the effective tax rate before the impact of discrete items to be 26% to 28% and we continue to work through the impacts of state tax changes. With that, let me turn it back over to Ellen.
Ellen Alemany: Thanks, John. I want to reiterate our commitment to our return on tangible common equity goals. As previously mentioned, we are targeting 9.5% to 10% return on tangible common equity at the end of this year and a 11% to 12% over the medium term. In closing, we are delivering steady progress on our plan to maximize the potential of our core businesses; enhance our operational efficiency; optimize our funding cost; optimize our capital structure; and maintain strong risk management. With that, we’re happy to take your question.
Operator: Thank you. [Operator Instructions] And this morning’s first question comes from Moshe Orenbuch with Credit Suisse.
Moshe Orenbuch: Great, thanks. And I guess looking at the margin walk that you talked about and you’ve kind of alluded to some of the pieces of this but I’m hoping you can kind of pull it together for us because essentially I mean this is a company that we’ve kind of been told was asset sensitive and yet you’ve got an 18 basis point hit to margins as a result of higher interest rates in the quarter. I mean, it seems like it seems high and you talked about like I said some of the pieces but can you kind of flush out what it what will take to get to the point of actually demonstrating that asset sensitivity or is it the fact that pressure on yields is just offset that?
John Fawcett: Yes. So Moshe, John. So, I’ll take crack at this. I think a lot of it is competition in the space and change in mix of business. I think as you all know, also there is a lot of puts and takes that work a way through the net finance revenue line in terms of the indemnification asset the drag back creates. The run off of the purchase accounting accretion which is half of what it was last year. I think the other thing that’s kind of out there a little bit is in terms of lease maintenance and so as you start to see some of the cars come out of storage and you see our utilization go up. That drives a little bit of lease maintenance. And so, as we take cars out, there’s a higher volume of re-marketing pulling cars with storage and setting cars into service. And so, that’s also a part of it. The other element of it that’s probably unique a little bit to this quarter is that the elevated level of cash which I think we were probably overtly circumspective in the capital actions and probably impacted net interest margin at this proportionate way. And as I mention, the other two big drivers are this where the subordinated debts. We had the full quarter of a 608 coupon work their way through on $400 million. And in of course we had great success with to build out of the money market in our online bank and that was a north rate of 185 that probably launched in late February that ran through part of the first quarter and all of the second quarter. So, hopefully that gives you a little bit more colour in terms of what’s going on.
Moshe Orenbuch: Right, okay. And you talked about the lease rates being down kind of the still 20% to 30% on renewal. Can you talk about the percentage of the book that’s renewing in ’18 and how that changes in ’19 and when do you think that number could be closer to where that will be more of a wash?
John Fawcett: Yes. So, this is the question of the pig and the python. And so, I think as and you have the break the book into almost two pieces. So, you’ve got kind of the way I look at it, it’s you have the straightening infrastructure book and then you have it; the tank cars. And so, kind of in broad strokes, 35% of what’s re-pricing in ’18 is tank related cars and that starts to trend down. ’19 is probably sub-30, 20, sub-25 and 21 is sub, you know 20. So, it continues to work its way through. I think on the tank side to the extent that oil stabilizes at 70 or continues to move higher. That moved both well in terms of the rates that we can re-price that. Similarly, it also depends on the vintage of the cars that are coming off lease. And so, you’re starting to see a convergence of high lease cars and the tank space coming off at the same time that lease rates and tanks are starting to modestly move. I think the other thing too is in terms of utilization in the rail business. I think you’d have to go back to probably ’15 before you ever see a 1% increase quarter-on-quarter in terms of utilization and in terms of other kind of bright lights on the horizon; something as probably out of favours coal cars in the last year has gone from mid-80s utilization to mid-90s utilization. So, it feels like there is a lot of things that are going on in the rail space that are potentially good. But again we still going to have to work through the challenges we face in the tank space.
Moshe Orenbuch: Right. But just about how long do you think that takes to?
John Fawcett: I think, certainly through ’19 and then ’20 it starts to see a turn. But again, a lot of this has to do with the mix of cars, a lot of it has to do with infrastructure. Look, it’s probably we’re able to do the same thing for infrastructure as he’s been talking about as what he did with tax reform. I think that would potentially be a fairly decent lift. So, we just have to see how it plays out.
Moshe Orenbuch: Great, thanks.
John Fawcett: You’re welcome.
Operator: Thank you. And the next question comes from Eric Wasserstrom with UBS.
Eric Wasserstrom: Thanks very much. I’m afraid my question is also on the net interest margin. I’m looking at Page 7 of the slide deck which has the margin walk from the first to second quarter. And I’m just sort of contemplating these end categories from second to third in line with the guidance. And I guess where I’m struggling is if you look at the left side, for example the cash and investment income, and assume that the balance sheet is largely flat and maybe there’s a couple of benefits of couple of benefits of you know couple of basis points of benefit there but the continued increase in deposit cost along the lines of the beta that you suggested would suggest that that’s still going to be a this pressure. And so, I’m just wondering how all of that reconciles to a flat quarter-over-quarter net finance margin.
John Fawcett: And so, on the left-hand side, in my call script, the alluded to the fact that we’ve started to introduce some pricing. We’ll have to see how that goes in the business capital space. It largely becomes also a question of the pace of prepayment, I mean very highly or a high levels of prepayments in the second quarter. So, if that repeats a little bit, there’s probably some good news there. Spot cash is already down and we expect that we’ll become a little bit more efficient on the balance sheet given that we’re not going to have a tender to work through. On the right hand side in terms of borrowing costs, you’d expect some moderation at least in that space. But on the deposit costs, depending upon the timing of subsequent Fed actions, that should be modestly flattish. So, I think we’re pretty comfortable with our range of 320 to 340 in terms of net finance margin. The mill is part of that rate.
Eric Wasserstrom: And then, maybe if I could just ask one follow-up on the cost. The –- what, I know that you mentioned that it’s a competition benefits that is the primary driver from calling from the script. But can you give us a sense of within the organization where that cost leverage is emanating from because I also see these very strong hiring announcements and I’m just trying to put the two and two together.
John Fawcett: Yes, so –- well, I’m sorry.
Ellen Alemany: Yes. So, I’ll just take this, John. So, we are still committed to the billion 50 at year end and a lot of the cost declines are coming from really compensation costs, lower professional fees. We’re also have a lot of digitization efforts going across the business which is resulting in a lot more operational efficiency. And I would add that with the passage of the regulatory release legislation, there is some potential for further expense reduction. And what we’re doing is we’re rebalancing on using some of these cost saves to make investments in the business and then otherwise just getting the cost saves back. So, it’s a little bit of re-balancing here.
Eric Wasserstrom: Thanks, very much.
Operator: Thank you. And the next question comes from Donald Fandetti with Wells Fargo.
Donald Fandetti: Hi, John. Could you talk a little bit more about credit, the non-accruals that you had mentioned where up. And if you take about last quarter you have the episodic event in commercial. I guess two part question. 1) Is there any particular industry that drove the non-accruals and that how are you thinking about credit generally speaking going forward. It seems like maybe it’s softening a little bit in the commercial side.
John Fawcett: Yes. So, the increase in non-accruals was really on the specific industry or common scene. So, again kind of episodic. The increase in reserves were primarily related to commercial finance where non-accruals have some variability. And again, non-accruals in charges are demonstrating any particular pockets it sounds. I mean, if we look at the top of the house, across most of the matrix net charge offs that are presented by average loans at 21 basis points and you look across the last five quarters, that’s a low point for us in terms of low being good. The provision against average loans, if second quarter of ’17 was ridiculously low and the first quarter had that challenge of the episodic one credit going bad. But at 45 basis points, it’s very consistent with third and fourth quarter. If you look at nonperforming loans to end-of-period loans, again kind of still below 1% in to see any trends breaking out there. And then, we feel pretty good about our allowance. So, across the book of business, there is nothing out there that causes any particular challenges. And then, as I said in the call script, the new business origination and it needs to come in a better risk ratings than the overall risk rating of the performing portfolio. So, at this point, we feel pretty good about where we are in the credit cycle.
Donald Fandetti: Thanks.
John Fawcett: You’re welcome.
Operator: Thank you. And the next question comes from Chris Kotowski with Oppenheimer & Company.
Chris Kotowski: Hi, good morning. I’m wondering in terms of the capital returns if you can say, you indicated you were in the market that you do it did a $106 million I believe you said so far. Should we expect you to complete your authorization in the open market or through additional tenders?
John Fawcett: Yes. So, everything is on the table. I mean, the reality is if you do the arithmetic between when we started at a $105 million, it feels like we could do the whole thing in the open market and get through the return. But we look at everything all the time and so all these regular options are there in terms or an ASR open market repurchase and a tender. I wouldn’t expect that you’re going to see any kind of a special cash dividend but we’re going to continue to march and deliver the target a 11% or 12% by the end of the year. And I think if you do the arithmetic. We started the year at call it 14.5% more at half year at 13.2%, so it’s a 120 basis points 130 basis points and we’re targeting a 11.5% to 12% which is another 120 basis points to 170 basis points. So, it feels like across the course of the year, we’re going to have delivered between 250 basis points and 300 basis points of reduced common equity Tier 1. And if you do the arithmetic, you can kind of discern that the bulk of the 750 that was authorized by the board is very much front loaded to get to those targets are year end.
Chris Kotowski: Right, okay. And then, just going back to the non-accruals, I mean they increased a little over a 50 million. Was it multiple loans or was it a one of couple big relationships?
John Fawcett: It’s not. It’s multiple loans; it’s not a single credit at all and it’s different industry. There’s literally no correlation between any of the loans that are more but its non-accrual.
Chris Kotowski: Okay. That’s it from me, thank you.
John Fawcett: You’re welcome.
Operator: Thank you. And next question comes from Scott Valentin with Compass Point.
Scott Valentin: Good morning and thanks for taking my question. Just, John, I think you said earlier in prepared remarks about this quarter’s deposit growth: there were some initiatives in the second half and maybe you guys were kind of prefunding if I heard you correct. Is there anything specific you have planned for the second half in terms of assets?
John Fawcett: No. It’s steady as it goes.
Scott Valentin: Okay, alright. And --.
John Fawcett: And by the way, welcome, Scott.
Scott Valentin: Thank you. And then just on the capital return. Now that you guys SIFI. Just wondering in terms SIFI was a pretty structured process in terms of submissions and timing and things like that. I assume it’s a lot more flexibility now going forward with regard to capital return request. In other words, you guys can finish the current capital return, you can just go back and request additional and if SIFI fit that to return capital. There’s no specific timeframes or any kind of structured calendar in terms of requesting capita?
John Fawcett: Yes. I --.
Ellen Alemany: Yes. I mean I think that’s right, Scott. But that being said I think the regulator simple. So, maybe clear that to make sure that our capital planning and risk management practices. They’ll be continue to be reviewed through the regular supervisory process and we got to be prudent in our request, et cetera but.
John Fawcett: And the only I would add is look the laws are out here, they have to be converted into regulation, then they have to be applied for supervision. I think a lot of people are under the impression that there’s open season of capital but the reality is that CCAR may be gone, the capital playing as Ellen said remains alive and well. It’s still subject to supervisory over sight. And there are specific rules in terms of SRO 904 and there are others in place still governing payment of dividend. And so, we expect to continue to work very closely with the Federal Reserve in terms of what our ability is to return capital and the pacing and timing of which that would happen.
Scott Valentin: Okay, that’s helpful. Thanks, very much.
John Fawcett: You’re welcome.
Operator: Thank you. And the next question comes from Vincent Caintic with Stephens.
Vincent Caintic: Hi, thanks. Good morning, guys. A couple of questions or two questions in the rail car business. So first, you alluded to the yield this quarter being supported by a prepayment. I am just wondering with the yield would have been without the prepayment. And then secondly, so the 98% utilization rate. So, a great number after having dip into the low-90s. Just kind of wondering how sustainable that is and particularly when you think about pricing versus utilization, where do you think that can go. Thanks.
John Fawcett: Yes. Rob will probably get back to you on the impact of the prepayment; it was kind of a modest number in the overall scheme of things. On the infrastructure side on the freight cars, it feels like we’re in pretty good place in terms of renewals against car lease rates. And so, maybe there’s potentially a little bit of upside there, again it depends on what happens in the broader market. And on tanks, it’s just going to run its course. So, I don’t that is much more visibility that I can give you in terms of what I said before. I think it all still kind of falls true; it’s wait and see. I think there are glimmers of hope on the horizon but one quarter doesn’t necessarily make the trend. I think oil prices have to sustain themselves. The infrastructure has to keep going. It’s got to be a void economy to kind of support some of the flow. But there are a lot of good signs in terms of loadings being up, right. Loadings were up, you’d have to go back to ’14 or ’15 to see the pace of loadings that we’re seeing right now, so.
Vincent Caintic: Okay, got it, helpful. Great. And then, separate but maybe a little bit relating question. If you could discuss the prepayment activity a little bit more. Just wondering is that the prepayment activity was high just generally in the second quarter. Is that something that you I don’t know whether it’s competition and commercial in the real-estate business or other things. But do you expect the prepayment activity to be elevated going forward and is it something where say rising rates is a driver for that and we should kind of tie the two? Thanks.
Ellen Alemany: This is Ellen. It’s really hard to predict the prepayment rate. We had a lot of prepayment rates at in the last quarter of last year. It was a little lighter at this past quarter. But it’s really just a combination of the debt funds out there. That’s been a challenge for us and for many other institutions. And it’s also it’s been an erosion of the deal structure side in the market place. And we’re really staying firm on the credit side of the year of the business. So, I would, I would say that we’ll just see how it goes. But otherwise, the business volume is as strong as I’ve ever seen in terms of the new volume that were riding but it’s really hard to predict the prepayment activity.
Vincent Caintic: Okay, got it. Thanks, very much.
Operator: Thank you. And the next question comes from Arren Cyganovich with Citi.
Arren Cyganovich: Thanks. So, the return on tangible equity continues to improve but so are some of them below peers, largely, I think because of the higher cost of deposit funding compared to other banks. What’s your thoughts on maybe improving that or do you need to actually sell to somebody else or somehow acquire cheaper deposits to make returns more comparable with other banks. Your thoughts on M&A there?
Ellen Alemany: I mean, I think it’s just its continued execution against the plans. So, it’s a whole combination of factors that we’re going at it which is the revenue momentum we have in the business continuous improvement on the operating expense line, et cetera. And what’s just core, it’s basically just quarter-over-quarter progress. So, we’re having a lot of success running of the brokerage CD deposits and growing the direct paying deposits. But it’s going to be a combination of all these factors that it’s going to drive the improvement on the return on tangible common equity. And maybe it’s some we’re aggressively looking for some portfolio purchases on the market et cetera that may help. But it’s just going at it every quarter.
John Fawcett: Yes. And I would just add that look we remained committed to the return on tangible common equity walked, it’s kind of out there. So, fourth quarter ’19 not and we have 10%. And then targeting a 11% to 12% return on tangible common equity in the medium term. And so, there is a lot of leverage here work and I would say we’re working them all. And we remain committed to deliver against the commitment we’ve made.
Arren Cyganovich: Okay, thank you.
John Fawcett: You’re welcome.
Operator: Thank you. [Operator instructions] And the next question comes from Derek Hewett with Bank of America Merrill Lynch.
Derek Hewett: Good morning, Ellen and John. Could you discuss opportunities to further improve operating expense? I don’t think the billion 50 guidance in 2018 contemplated the change in SIFI status?
Ellen Alemany: No, it didn’t. This is Ellen. It didn’t but what we are doing is really balancing future investment with the expense saves. So, over expense saves. So, over the past 18 months we’ve been investing in a lot of new front office origination capability; whether it’s material handling; logistics expertise; air; et cetera. And also investing in technology in the company. But on the other hand on the expense side where I would say lower professional fees; lower compensation costs. We’re doing all the you would call expanse and layers exercise looking at locations. So, there is still a lot of expense initiatives in the works. We will with the passage of the regulatory release, have potential to take out some more expenses. There is just for example, we won’t have to do resolution planning anymore. We won’t have to certain reports that are required for DFAST or CCAR. We won’t be subject to some of the Federal Reserve Bank supervisory assessments. But as I said we’re looking at how we rebalance and put some investment in the business and just some cost take outs. But we’ll probably come out with some guidance later on this year after we reach billion 50 target of kind of the future expense number after that.
Derek Hewett: Okay, great. And then, what percentage of the North American rail portfolio is current housed in CIT bank. And are there additional opportunities to move the portfolio that’s financed outside in the bank into the bank at this point?
Ellen Alemany: Well, roughly I think we have the rail portfolio within the bank today, the other half is up at the holding company. And then after the sale of NACCO, we’ll reduce the rail in half; a better holding company level. And then, as we continue to grow the bank, we’ll be able to cut more rail assets into the bank.
Derek Hewett: Okay, great. Thank you.
Operator: Thank you. And as there are no more questions at the present time, I would like to turn the call to management for any closing comments.
Ellen Alemany: So, thank you everyone for joining this morning. And if you have any follow-up questions, please feel free to contact me or any member of the Investor Relations team. You can find our contact information along with other information on the Investor Relation section of our website at cit.com. Thanks again for your time and have a great day.
Operator: That concludes todays call. Thank you, for participating.